Operator: Good day, ladies and gentlemen. Welcome to the Q2 2015 Akamai Technologies Inc. earnings conference call. My name is Steven, and I will be your operator for today. At this time all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Mr. Tom Barth, Head of Investor Relations. Please proceed.
Tom Barth - Head-Investor Relations: Thank you, Steven, and good afternoon, and thank you for joining Akamai's second quarter 2015 earnings conference call. Speaking today will be Tom Leighton, Akamai's Chief Executive Officer, and Jim Benson, Akamai's Chief Financial Officer. Before we get started, please note that today's comments include forward-looking statements, including statements regarding revenue and earnings guidance. These forward-looking statements are subject to risk and uncertainties and involve a number of factors that could cause actual results to differ materially from those expressed or implied by such statements. Additional information concerning these factors is contained in Akamai's filings with the SEC, including our Annual Report on Form 10-K and quarterly reports on Form 10-Q. The forward-looking statements included in this call represents the company's view on July 28, 2015. Akamai disclaims any obligation to update these statements to reflect future events or circumstances. As a reminder, we'll be referring to some non-GAAP financial metrics during today's call. A detailed reconciliation of GAAP and non-GAAP metrics can be found under the financial portion of the Investor Relations section of our website. With that, let me turn the call over to Tom.
Frank Thomson Leighton - Chief Executive Officer & Director: Thanks, Tom, and thank you for joining us today. Akamai delivered a solid second quarter, with strong revenue growth across all of our geographies and in all of our solution categories, with particularly strong growth coming from our cloud security offerings. Revenue in the second quarter was $541 million, up 14% year over year and up 18% when adjusted for foreign exchange headwinds. Non-GAAP EPS for the second quarter was $0.57 per diluted share, down 2% year over year but up 3% when adjusted for foreign exchange headwinds. I'll be back in a few minutes to talk more about the progress that we made during the second quarter and the opportunities that lie ahead. But first, let me turn the call over to Jim for our detailed financial results and the outlook for Q3. Jim?
James Benson - Chief Financial Officer & Executive Vice President: Thank you, Tom, and good afternoon, everyone. As Tom just highlighted, Akamai performed well in the second quarter. Q2 revenue came in slightly above the midpoint of our guidance range at $541 million, up 14% year over year or up 18% if you adjust for foreign exchange headwinds, with strong and balanced growth across the entire business. Media revenue was $244 million in the quarter, up 12% year over year or up 17% on a constant currency basis. These growth rates are particularly strong when you consider our very strong Q2 of 2014, which benefited from several large gaming releases and the World Cup matches. As I've mentioned on past earnings call, where we land in our revenue guidance range is heavily influenced by media traffic, and Q2 traffic came in at the midpoint of our expectations. Turning now to our Performance and Security Solutions, revenue was $256 million in the quarter, up 15% year over year or up 19% on a constant currency basis. Within the solution category, we saw solid growth across most of the product lines. And as Tom mentioned, we continued to see strong growth in demand for our cloud security offerings. Second quarter revenue for our cloud security solutions was $61 million, up 39% year over year or up 44% on a constant currency basis. We are pleased with our continued growth and market recognition of our unique and differentiated cloud security capabilities. We have grown our security business from just a few million dollars in 2011 to over $210 million over the past 12 months. Finally, revenue from our Services and Support Solutions was $41 million in the quarter, up 14% year over year or up 18% on a constant currency basis. We continued to see improvements in new customer attachment rates for our higher-end enterprise-class professional services as well as service offering upgrades into the installed base. Turning now to our geographies, revenue growth continued to be solid across all of our major geographies. Sales in our international markets represented 26% of total revenue in Q2, consistent with the prior quarter. International revenue was $142 million in the quarter, up 7% year over year or up 22% on a constant currency basis. The stronger dollar continued to weigh on growth rates and had a negative impact on revenue of $21 million on a year-over-year basis and $1 million on a sequential basis. On a constant currency basis, we saw solid growth in both our Asia-Pacific and EMEA markets. Revenue from our U.S. market was $399 million, up 16% year over year, with solid growth across all solution categories. And finally, revenue through channel partners represented 27% of total revenue in Q2, up one point sequentially. Moving on to costs, cash gross margin was 77%, down one point from the prior quarter and the same period last year and coming in at the lower end of our guidance range, given both the revenue results and the increased investment in network expansion in the quarter. GAAP gross margin, which includes both depreciation and stock-based compensation, was 67%, down one point from the prior quarter and down two points from the same period last year and in line with our guidance. GAAP operating expenses were $255 million in the second quarter. These GAAP results include depreciation, amortization of intangible assets, stock-based compensation, acquisition-related charges, and other non-recurring items. Excluding these charges, non-GAAP cash operating expenses were $204 million, at the upper end of our guidance and up $15 million from the prior quarter as we absorbed a full quarter of the Octoshape and Xerocole acquisitions and continue to make head count and infrastructure investments across the business, with the goal of driving both growth and scale. Adjusted EBITDA for the second quarter was $214 million, down $9 million from Q1 levels and down $10 million from the same period last year. Our adjusted EBITDA margin came in at 40%, down two points from Q1 levels and down three points from the same period last year and coming in at the low end of our guidance range given our revenue and gross margin configuration. GAAP depreciation and amortization expenses were $74 million in the second quarter. These GAAP results include depreciation associated with stock-based compensation, amortization of intangible assets, and amortization of capitalized interest expense. Excluding these charges, non-GAAP depreciation was $64 million, up $3 million from Q1 levels and in line with guidance. Non-GAAP operating income for the second quarter was $150 million, down $12 million from Q1 and down $5 million from the same period last year. Non-GAAP operating margin came in at 28%, down three points from Q1 levels and down five points from the same period last year and in line with our guidance. Moving on to the other income and expense items, interest income for the second quarter was roughly $3 million, down slightly from Q1 levels. Non-cash interest expense related to our convertible debt was roughly $5 million, also consistent with Q1 levels. As a reminder, this non-cash expense is excluded from our non-GAAP results. Moving on to earnings, GAAP net income for the second quarter was $67 million or $0.37 of earnings per diluted share. Non-GAAP net income was $102 million or $0.57 of earnings per diluted share and coming in at the midpoint of our guidance range. For the quarter, total taxes included in our GAAP earnings were $35 million based on an effective tax rate of 34.5%. Taxes included in our non-GAAP earnings were $49 million, based on an effective tax rate of 32.5%, slightly lower than our guidance due to a revised full-year 2015 tax rate projection that reflects a higher mix of foreign earnings. Finally, our weighted average diluted share count for the second quarter was 181 million shares, consistent with Q1 levels and in line with our guidance. Now I'll review some balance sheet items. Days sales outstanding for the second quarter was 59 days, consistent with Q1 levels and down one day from the same period last year. Capital expenditures in Q2, excluding equity compensation and capitalized interest expense, were $107 million, slightly below the low end of our guidance for the quarter, primarily due to some planned network capacity investments shifting into Q3. As a reminder, this CapEx number includes capitalized software development activities. Cash flow generation was strong in the second quarter, with free cash flow of $168 million or 31% of revenue. During the quarter we spent $63 million on share repurchases, buying just over 850,000 shares at an average price of $74. At the end of Q2, we had $308 million remaining on our current share repurchase authorization. Our balance sheet also remains very strong, with roughly $1.5 billion in cash, cash equivalents, and marketable securities on hand at the end of the quarter. If you factor in our convertible debt, our net cash is approximately $835 million. As we've discussed the past, we believe the strength of our balance sheet and cash position is an important competitive differentiator that provides us the financial flexibility to make key investments at opportune times. As always, our overall goal is to deploy our capital in a manner we believe is in the best long-term interest of the company and our shareholders. In summary, we executed well and in line with our expectations in Q2. We delivered solid revenue growth and made the investments in the business that we believe are necessary to build a foundation for sustained long-term growth and scale. Looking ahead to the third quarter, we expect continued foreign exchange headwinds to weigh on growth rates. At current spot rates, foreign exchange fluctuations are expected to have a negative impact on Q3 revenue of about $2 million compared to Q2, and $20 million compared to Q3 of last year. In addition to currency headwinds, we anticipate a moderation in media growth rates for Q3. As we have discussed in the past, traffic volumes can vary from one quarter to the next given the size and timing of software releases as well as the adoption of social media and video platform capabilities. And as you will recall, our very strong Q3 results last year were driven by unseasonably strong traffic and revenue growth, with our largest and most strategic social media, gaming, and software download customers in particular. We are not expecting that same level of traffic volume uptick in this Q3, and anticipate traffic patterns consistent with what we've seen seasonally during the mid-summer months, specifically lower traffic volumes as people spend less time on the Internet. And while we expect a moderation in media growth rates this quarter, we remain bullish on the longer-term secular trends for this business going forward. Factoring in both of these items, we are expecting Q3 revenue in the range of $543 million to $555 million. This range represents 13% to 15% growth adjusted for foreign exchange movements over an exceptionally strong Q3 of last year. At these revenue levels, we expect cash gross margins of 77% to 78% and GAAP gross margins of approximately 67%. Q3 non-GAAP operating expenses are projected to be $205 million to $210 million, up slightly from Q2 levels. Factoring in the various items I just mentioned, we anticipate Q3 EBITDA margins of 40%. And as I have been messaging, looking beyond Q3, we expect to operate the company in the 40% to 41% EBITDA range for the foreseeable future. However, to be transparent, EBITDA margins will be heavily dependent on several factors, including revenue volumes, possible M&A, spending on platform capacity in anticipation of greater demand for our over-the-top video delivery services, and foreign exchange movements. Moving on to depreciation, we expect non-GAAP depreciation expense to be $66 million to $67 million, up from Q2 levels, driven by our first half and planned Q3 network build-outs and the completion of several large software projects. Factoring in this depreciation guidance, we expect non-GAAP operating margin of 27% to 28% in Q3. And with the overall revenue expense configuration I just outlined, we expect Q3 non-GAAP EPS in the range of $0.56 to $0.58. This EPS guidance assumes taxes of $49 million to $51 million based on an estimated quarterly non-GAAP tax rate of roughly 33%. This guidance also reflects a fully diluted share count of approximately 180 million shares. On CapEx, we expect to spend approximately $95 million to $105 million in the quarter, excluding equity compensation. The elevated levels of CapEx this year are driven by our desire to increase our capacity to stay ahead of anticipated traffic growth on the network. For the full year, we are expecting to be slightly above the high end of our long-term model for CapEx as a percent of revenue. Because the revenue benefit from our network build-outs tends to trail the investment, our margins are expected to be slightly pressured in the near term, but we believe it is the right business decision to build out now to ensure that capacity is available to support the potential for significant growth in online video traffic in 2016 and beyond. In closing, we delivered another solid quarter and first half of 2015, and we remain confident in our ability to execute on our plans for the long term. Now let me turn the call back over to Tom.
Frank Thomson Leighton - Chief Executive Officer & Director: Thanks, Jim. It's great to see Akamai building on our strong start to the year, and I'm very optimistic about the opportunities that lie ahead. We believe that our solid financial performance is evidence of the sound fundamentals in our business strategy and the pivotal role that we play in the growth of the Internet. We continue to provide unique value by focusing on solving four grand challenges for our customers: delivering video over the Internet with unsurpassed quality, scale, and affordability; providing near-instant performance for websites and apps on any device anywhere; protecting websites and data centers from cyberattacks that aim to disrupt their online operations, corrupt their data, or steal sensitive information; and scaling enterprise networks to handle new cloud workloads with high performance and low cost. End users today expect to be able to consume any content anywhere, anytime, on any device, and they expect their online experience to be fast, reliable, and secure. If they're watching a video, then the picture needs to have high resolution and never rebuffer. In response, the world's major broadcasters and Internet companies are working to create over-the-top, or OTT, services and packages for popular video content. This has the potential to create an enormous amount of traffic on the Internet. Typical subscribers watching OTT video delivered across the Akamai platform could consume 10 megabits per second or more of traffic while they're watching. This means that an audience size of only 5 million users, which is the equivalent of about four Nielsen points, could generate 50 terabits per second of demand, far more than we deliver today for all of our customers combined. And if OTT becomes commonplace, the demand could increase by an order of magnitude or more. This is why we are investing in growing the capacity of our platform and why we are working on new technologies to decrease the cost of delivering large volumes of video. But making OTT successful involves a lot more than just capacity and scale. The quality of the viewing experience is also critically important. Delivering broadcast quality video over the Internet at scale is a lot harder than most people realize, especially considering the diversity of video formats, devices, operating systems, browsers, video players, DRM and ad insertion technologies, encoders, and carrier equipment in the ecosystem. And that's just for the landline Internet. The problem is even harder when you try to deliver high-quality video over cellular networks. That's because cellular networks were originally built for voice, and voice uses about 1,000 times less capacity then video. Akamai's video delivery solutions are designed to manage all the challenges of delivering OTT content for the world's leading broadcasters, content providers, and major Internet companies. Our unique approach of streaming content through servers in thousands of locations close to end users allows us to bypass congested peering points, resulting in a more reliable viewing experience for end users. Our superior communication and video transport protocols are designed to enable a higher-quality picture, which is increasingly demanded by users and broadcasters alike. And our highly talented media R&D team is constantly working to ensure that our platform has the scale, quality, and affordability needed for OTT to become widely adopted. We also believe that we are making good progress with integrating Octoshape's streaming optimization technology into our next generation of video delivery solutions, and we are confident that our combined capabilities and scale will differentiate Akamai from our many competitors and do-it-yourself efforts. Akamai's unique global scale is achieved by partnering with the world's leading carriers. Just last week, we were very pleased to announce our new strategic partnership with Telecom Italia. As a result of this partnership, Telecom Italia will now be offering Akamai's full suite of services within the Italian market, including video delivery, web acceleration, and security. Overall, Akamai has more than 1,400 network partners, and we have about 190,000 servers in thousands of locations across 111 countries. Of course, the scale of our globally distributed platform offers significant advantages over the competition and do-it-yourself efforts when it comes to delivering large volumes of content quickly and reliably. It also provides significant advantages in defending websites against cyberattacks. In the past year alone, the number of DDoS attacks mitigated by Akamai has increased by more than 130%. Today, we are defending many of the world's leading brands against attacks that typically flood their sites with many tens of gigabits per second of malicious traffic, and the largest attacks now contain several hundred gigabits per second of traffic. These volumes are more than enough to overwhelm traditional security defenses in most any enterprise, and that is why so many enterprises are turning to Akamai for their web security needs. Our flagship security solutions, Kona Site Defender and Prolexic, are differentiated by their scale, their sophistication, and their ability to sustain performance in the face of such large-scale attacks. Over the past three years, we have grown our quarterly security revenue from $4 million when we first launched Kona Site Defender to $61 million in Q2. We were particularly pleased to see our security business grow 44% over Q2 of last year, the first quarter that included the full benefit of the Prolexic acquisition. As a result, Akamai is now one of the few cloud-based security companies with an annual revenue run rate of more than $200 million. Our growth has not gone unnoticed in the marketplace, and our security services are now being recognized by the leading independent research firms. In the last month, both Forrester and Gartner published research reports on the cybersecurity landscape that included Akamai. Forrester identified Akamai as a leader among DDoS service providers and scored Akamai as the top company in the strategy and market presence categories. Gartner cited Akamai's differentiated WAF [Web Application Firewall]-as-a-cloud service solution and made us one of only a few companies to move up and to the right in their Magic Quadrant. In addition, Gartner stated that by 2020, more than 60% of web apps will use WAF delivered from the cloud, up from less than 15% today, which we believe speaks to the large opportunity ahead for Akamai's security business. Since cybersecurity is so vital to our customers, we are continuing to invest in the development of new and more capable security solutions. In May we launched our first Client Reputation service. Leveraging behavioral analytics and the huge volume of web traffic that Akamai handles every day, our new Client Reputation service identifies IP addresses that have attacked or abused customer websites. Customers are able to alert or block the identified malicious users based on a risk score derived from the history of their past actions. Client Reputation is designed to complement and extend the protection provided by Kona Site Defender by blocking traffic from users that have attacked any Akamai customer within the past 45 days. Initial customer reaction to this new services been very positive, with numerous customers purchasing the service in Q2. We are also developing a suite of enterprise security solutions to detect and prevent phishing, malware, and data exfiltration attacks against enterprises. We expect the advanced recursive DNS technology that we acquired with Xerocole in February to play a significant role in these offerings, which we anticipate introducing into the market in 2016. In summary, Akamai is off to a very solid start in the first half of 2015, and I'm very excited about the opportunities for growth that lie ahead. Thank you for your time today. Now Jim and I will take your questions.
Operator: Stand by for your first question, which comes from the line of Gray Powell from Wells Fargo. Please go ahead.
Gray W. Powell - Wells Fargo Securities LLC: Hi, thanks for putting me up early in the lineup. I appreciate it. So maybe to start, what is your view on the rate and pace of over-the-top offerings? Do you see a point in time over the next six to 12 months when it has more of a direct or potentially accelerated impact on your business?
Frank Thomson Leighton - Chief Executive Officer & Director: It's really hard to predict the rate of adoption and when new OTT services will become available. But we are in conversations with the country's leading broadcasters, in fact, several global broadcasters and major Internet companies, and there's a lot of buzz out there and a lot of interest in bringing major video content online over-the-top. And that's already starting to have an impact on our financials in the sense that we're buying more CapEx and you see us be a little bit above our long-term plan in CapEx this year. And as we put that CapEx into co-lo and get it connected with bandwidth, there's some cost there. And we want to be in the position of being prepared. There is the possibility that it could have a significant impact on our financials next year. We are taking risk in doing this because there's always a chance that the offerings will be delayed or there won't be as much uptake among the users and subscribers as people are hoping for, but we're willing to take that risk. The downside there is that if we just deploy the CapEx a little early we'll be using it within a year anyway, but we really want to be ready if OTT takes off as a lot of people think it might.
Gray W. Powell - Wells Fargo Securities LLC: Got it, and then just one more on the cost side, if I may. So I understand that the EBITDA margin target remains in the 40% to 41% range. Can you help us think through the components there? I think that your new sales reps, that continues to grow at the same pace that you've seen over the last couple of years. Productivity should scale. I would assume the Prolexic margin should be improving. Can you just help us think through some of these incremental investments in the line items to keep margins at current levels? Thanks.
James Benson - Chief Financial Officer & Executive Vice President: I'll take that. So as you can imagine, with the network CapEx build-outs that Tom referenced, that's going to pressure margins in the near term, in particular gross margins, but obviously that affects EBITDA as well. We think it's the right business decision, so you can expect that – last year I think we ended at 79% gross margin in Q4. Obviously we were at 77% in Q2. We will probably be in the 77% to 78% range for the foreseeable future. But we still plan to manage the company at the 40% to 41% level, which tells you we are going to continue to make investments in the business, across the business. We're going to continue to make investments in all the areas that we have been talking about. We'll continue to make investments in R&D. We'll continue to make investments in platform capacity. We'll continue to make investments in go-to-market. But we'll obviously be mindful of those investments and managing these investments within the context of the fact that we're doing pretty substantial build-outs now on the network side. So we are certainly mindful of that, but you can expect that we'll continue to make investments. And as I mentioned, for the foreseeable future, we expect to be in the 40% to 41% EBITDA range, but that does depend upon the things that I mentioned. It depends upon what happens with revenue volumes. It depends upon if there's an M&A that we think is opportunistic and the right decision for the company that that may be altered. But we're telling you what we see right now. And if we execute the plan that we currently have, I think that we can operate in those levels.
Gray W. Powell - Wells Fargo Securities LLC: Understood, okay. Thank you very much.
Operator: And your next question comes from the line of Sterling Auty from JPMorgan. Please go ahead.
Sterling Auty - JPMorgan Securities LLC: Thanks, guys, one question and one follow-up. First on the OTT opportunity, I wasn't quite clear. Is this an expectation of closing incremental new customers to drive that growth or is it that you expect your existing customers to drive additional volume, or is it a combination?
Frank Thomson Leighton - Chief Executive Officer & Director: I think the majority of it would be a substantial increase from existing customers. Today we already service pretty much all the major broadcasters. And as they bring content over-the-top, that would be traffic that would make sense to put on the Akamai platform. And in some cases, you have the big Internet companies out there maybe offering bundles and packages, and pretty much they are already Akamai customers. It would be a new service for them potentially, but most of the major media brands already use Akamai. So I think less of new customers, more of new service and substantially increased traffic from our existing customer base.
Sterling Auty - JPMorgan Securities LLC: Okay, and then the one follow-up. If I heard you correctly in your prepared remarks, it sounds like the guidance here on revenue for the September quarter incorporates not only the tough compare but maybe some moving around of timing of major software releases, et cetera. Can you help clarify in terms of – while you're not guiding for December, how should we think about the seasonal sequential growth in the back half of this year versus what you've seen in previous years?
James Benson - Chief Financial Officer & Executive Vice President: I'll take that. I'm certainly not going to guide for Q4. But to give you little more color on Q3, as you mentioned, and you've followed the company for a while, we had a very, very strong media quarter last Q3. The media business last Q3 grew 7% from Q2 to Q3. It's never grown at those rates. Admittedly, we've told you that traffic volumes vary from quarter to quarter. Sometimes you get big gaming releases. Sometimes you get big software updates. Sometimes there's an introduction of new capabilities on social media platforms. And so that really affects traffic volumes. And so certainly for Q3, we're not expecting those same level of volumes that we saw last year. It's probably less the timing of a big software release because I don't think that it's necessarily just the timing of the releases; it's also the size of those releases. And so there's a bunch of factors that we've outlined in our Q3 guidance. I really would hesitate to give you Q4 guidance because a lot of things can happen in Q4 because of the holiday season. It's seasonally our biggest quarter, and we usually provide fairly wide ranges of revenue guidance in that quarter because it can be heavily influenced by holiday seasonality. But for the third quarter, you can expect the media business is certainly going to moderate because we expect traffic volumes. And to be clear, because someone is probably going to ask me this question, well is it related to some big renewal of a large customer? It's not driven by renewals of large customers. This is just driven by an expectation that traffic volumes are going to be more seasonally light, which is what we tend to see in Q3, and we haven't seen that in the last couple sequential quarters for Q2 to Q3.
Sterling Auty - JPMorgan Securities LLC: Okay, thank you.
Operator: And your next question is from the line of Steve Milunovich from UBS. Please go ahead.
Steven M. Milunovich - UBS Securities LLC: Thank you. Could you go a bit deeper into the year-over-year decline in gross margin? How much of that comes from incremental depreciation associated with CapEx? Are there other factors? What are you seeing in pricing and so forth?
James Benson - Chief Financial Officer & Executive Vice President: Yes, so year-over-year GAAP gross margins were down two points. Cash gross margins were down I think about a point. Certainly a point of that is depreciation. And as we mentioned, we've been doing some pretty substantive build-out of the network, so you can account for half of that. And as you can imagine, we've been doing very large build-out in the first half. And so as you deploy CapEx onto the network, you end up having a fair amount of incremental cost to actually get that CapEx deployed on the network. There are network build-out costs. There are resources that need to go provide installation of our CapEx into the various networks, and so we did see an uptick in that. And that's what lowered gross margins down a point on a cash basis, down two points on a GAAP basis. As you saw for the guide for Q3, we think we're probably going to hover around those levels. They're not going to worsen. If anything, they're going to be flat to up a point is what I guided. So that's where I see things in the near term, that we're probably going operate in the 77% to 78% cash margin range and probably in the 67% range for GAAP gross margins for the next few quarters.
Steven M. Milunovich - UBS Securities LLC: Regarding timing of software releases and so forth, I know you probably don't want to comment too specifically. But there's talk that the Windows 10 launch could "break the Internet," and one assumes that you're among those CDNs being involved in that. Is that taken into account in your third quarter guidance?
James Benson - Chief Financial Officer & Executive Vice President: I'm not going to specifically comment on the Windows 10 release or any particular customer, but you can expect that we have a very close relationship with all of our large software download customers, and we have factored into our guidance an expectation from all of them. As you can imagine, with any release, the rate and pace of adoption of those releases varies. So it's not just the timing as far as when the release is provided, but it's the adoption of that release from the customers. And just to comment on Windows in particular, I think that's anyone's guess relative to – I would say enterprises are probably going to be much slower to introduce a Windows 10 release. I would say consumers, it's really a wildcard. But you can expect that we've included in our guidance an expectation of all software updates accordingly.
Steven M. Milunovich - UBS Securities LLC: Thanks.
Operator: And your next question is from the line of Will Power from Robert Baird. Please go ahead.
William V. Power - Robert W. Baird & Co., Inc. (Broker): Good afternoon, thanks. I guess two questions, if I may. I guess first, just maybe coming back to the media business, I wonder if you could just address what you're seeing from a competitive standpoint, both pricing and any potential lost share as you think about the traffic trends. I'll start with that.
Frank Thomson Leighton - Chief Executive Officer & Director: I think it's like it's always been. We've got a lot of competitors. The very biggest media companies will have a do-it-yourself effort in-house. Pricing is always important, very competitive there. The only I'd say major change has been over the last few years we've developed much closer and better relationships with many of the world's leading carriers, some of whom had large competitive or do-it-yourself efforts in the past and now have abandoned those efforts and decided to partner with Akamai. So that's been one, I think, change over the last few years, and that's been a favorable change. Akamai tends to have very strong share, and I think that's because of our quality, our scale, reliability, and affordability.
William V. Power - Robert W. Baird & Co., Inc. (Broker): Okay. And then, Tom, you had alluded to in your prepared remarks some new Internet security offerings you're working on that I think you thought you might introduce sometime in 2016. I wonder if you could help frame for us either, A), how big those might be for you in 2016 and beyond, and just how you think about the size of those markets that you're going to start addressing beyond what you're perhaps addressing today?
Frank Thomson Leighton - Chief Executive Officer & Director: Today our security business is on the Internet, and it doesn't extend inside the enterprise. And as we look to the future, as enterprises move more into the cloud, they're moving out into the Internet. And I think it's important for us to move into the enterprise networks with our security capabilities, and that's what we're developing today. I think it's pretty speculative, but it could be a very large market for us. As you know, phishing attacks are rampant. You have data exfiltration happening, almost daily headlines of massive exfiltration attacks being publicized, and these are areas where I think we can help. And I think it potentially is a very large market for the industry as a whole, having cloud-based offerings that help defend enterprises against those attacks. And I think it could be a large area for Akamai several years into the future. Obviously, we're in development now. If we bring a product to market next year, you wouldn't expect revenue instantly. But as we look towards the end of the decade, we think that could be a large source of revenue for us, which of course is why we're making substantial investments there today.
William V. Power - Robert W. Baird & Co., Inc. (Broker): Great, thank you.
Operator: Your next question is from the line of Mike Olson from Piper Jaffray. Please go ahead.
Michael J. Olson - Piper Jaffray & Co (Broker): Good afternoon. As far as international, are there any particular areas that you're focused on building out your sales head count, or would it be just the most obvious markets that would follow the U.S., like Western Europe? And I guess is there any risk that you're at all late to the game in any of those markets? In other words, are there incumbent competitors that have begun to dominate some of those international markets that will create a hurdle for growth? Thanks.
James Benson - Chief Financial Officer & Executive Vice President: We've been making, our sales force investments have been pretty much in all of our markets. I would say that we're already in a lot of call it the mature markets in Europe and the mature markets in Asia, so we're just fortifying our investments in those markets. But I wouldn't characterize it as I think that there's someone incumbent that's already been there and the opportunity is lessened. We certainly have competitors in every region. In some regions there are local regional competitors, but we wouldn't be making the investments outside of the U.S. like we have if we didn't think the market was there. We think that we're significantly underpenetrated in those markets, and we think there's significant room for growth there.
Michael J. Olson - Piper Jaffray & Co (Broker): All right, thanks a lot.
Operator: Your next question comes from the line of Tim Horan from Oppenheimer. Please go ahead.
Timothy K. Horan - Oppenheimer & Co., Inc. (Broker): Thanks, Tom. Sorry to harp on this, but I think you said pricing is very competitive, and our research indicates that a lot of your competitors seem to be – you've had a few new competitors lately, and they seem to be putting a lot more investment into CDN. Has pricing gotten a little bit worse, do you think, or is it stable? I know in the past you said it's relatively stable. And then also, Tom, can you just talk a little bit about your multicast video capabilities with Octoshape and maybe how that works, how unique is it, and what the demand looks like for it? Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: I would say that the competitive environment is pretty steady, which means with media in particular and CDN, pricing steadily drops per bit delivered or per byte delivered. And it's always been that way and I expect it always will. And in fact, we're working hard in development, and this leads into the Octoshape acquisition and their multicast and their client assisted delivery capabilities in bringing technologies to market that have an even lower cost basis in addition to having much higher quality at the same time. So I would say that pricing is – the decline in pricing is pretty stable. The level of competition is pretty stable. Traffic rises at a pretty fast clip, and pricing drops at a pretty steady clip. And then you take the product of those, and that's been leading to our revenue growth in media, which can have small fluctuations up or down in any given quarter, but generally has been a strong grower for Akamai.
Timothy K. Horan - Oppenheimer & Co., Inc. (Broker): And how unique is Octoshape? What are the barriers to developing that technology that you had to acquire then? Thank you.
Frank Thomson Leighton - Chief Executive Officer & Director: Octoshape has some really strong technology, first when it comes to ingress of live video where it comes from a single point, and that means you have a single point of failure. And so you really want to be sure that you get that live video stream at high quality, at high throughput, and there are no interruptions. And they have some very good communication protocols for that and some very good technology there. They also have some excellent client-side technology, which is used in the video players for both watching events on the Internet and also watching events inside an enterprise, and that technology allows you to do it at a lower cost point and also higher quality. They've been at this for a long time, and in our judgment have done some very special things that we are now integrating into the Akamai platform. Some are already benefiting us, and some will be part of our next-generation video solutions.
Timothy K. Horan - Oppenheimer & Co., Inc. (Broker): Thank you.
Operator: Your next question comes from the line of Michael Turits from Raymond James. Please go ahead.
Michael Turits - Raymond James & Associates, Inc.: Hey, guys. Jim, the EBITDA margin if I did the math right still comes out even slightly below if you go out a decimal place to 40% to 41%. It sounds like that you have some caution on the EBITDA range going forward. So, A), in general, are you more cautious than you were on the EBITDA margin the next couple of quarters? And is there any impact from the two acquisitions that we should be backing out here?
James Benson - Chief Financial Officer & Executive Vice President: Certainly, I mentioned that we did absorb the acquisitions in Q2, and so we have a full quarter impact in Q2. But in general for EBITDA, I would say my caution or my statements were more driven by making sure people have a consideration for what obviously is going to affect EBITDA; that we're making in particular some pretty significant investments in the network build-out which we believe are the right business decisions of the company. And while I believe we can operate the company in the 40% to 41% range, I also want to be mindful of the fact that we're not going to not make the appropriate investments in the business that we believe are the right business decisions for the company in the medium term and the long term. There are a bunch of things that can affect that, as you know. The media business in particular can have variability. And so if traffic volumes downtick a little bit, we're going to be at the lower end of that range. And I just want to make sure that I'm signaling that we intend to operate in the 40% to 41% range. There are variables that could affect that. I mentioned a couple of them. It could be network build-out being more substantive. It could be an M&A that we think is the right M&A. and if it is an M&A that is dilutive to the EBITDA model but we think is the right strategic decision for the company, then we're going to do it. But I'd say what we see right now, Michael, I think we can operate the company in the 40% to 41% range.
Michael Turits - Raymond James & Associates, Inc.: Okay. And then, Tom, if you back out the security piece from Performance and Security, just to generalize here the DSA portion of the Performance, a piece of it seems to still be growing constant currency in the low to mid-teens. I think that you had your eye on trying to reaccelerate that. Any thoughts on that?
Frank Thomson Leighton - Chief Executive Officer & Director: Yes, it's growing in the low to mid-teens. We'd like to see it grow faster, and we're putting a lot of development effort in terms of innovative capabilities around mobile acceleration. That's an area that's particularly challenged in terms of performance. And as you start to see the majority of use cases and transactions now moving to mobile, it becomes increasingly important to our customer base. You see the rapid adoption of mobile apps, and that's an area we're making investments in, and we would like to see that area grow faster.
Michael Turits - Raymond James & Associates, Inc.: Okay, thank you very much.
Operator: Your next question comes from the line of James Breen from William Blair. Please go ahead.
James D. Breen - William Blair & Co. LLC: Thanks for taking the question, just a couple. One, from a regulatory standpoint, given some of the interconnect deals that have happened in the space, does that impact your traffic at all over the next couple quarters? And then with respect to over-the-top video, you guys have talked about having a long-term business model growing the high teens, 17% – 18% top line over the next five years. Is it safe to assume that the investments you're making in OTT would be something that could push those growth rates higher than that range? Thanks.
James Benson - Chief Financial Officer & Executive Vice President: I'll take that. I don't think the regulatory environment has anything to do with an expectation of our traffic growth rates whatsoever, so I'm not quite sure what you're referring to there. But I would say that we have certainly talked about a long-term model for the company is that we believe that we have an ambition to hit $5 billion by 2020. And if you do the math on that, it means you need to grow the company around 17% on a compound annual growth rate. And we have a pretty broad portfolio between media, web performance, security, and some of the new emerging areas with the carrier and also in cloud networking. We might not necessarily get the pieces right, but each of those areas are growing significantly that we believe the combination of them is more than enough from a market opportunity perspective to grow the company at 17%. If you look through the first several years of the decade, we've been able to do that. And our expectation is if we execute well that we're certainly not market opportunity constrained. This is about execution, and I think with the combination of offerings that we have that with good execution that I think that those aspirations still make sense.
James D. Breen - William Blair & Co. LLC: Does it seem as though the target beat could be even higher now given the amount of focus on over-the-top traffic?
James Benson - Chief Financial Officer & Executive Vice President: I don't know. I would say that it's all about rate and pace. You can see an uptick in that for a period of time. I think the media business does have variability, as we've said, so I think that could fuel the media business. And yes, I guess if you hit on all cylinders and the media business starts to accelerate because of over-the-top and we get an acceleration and continued growth in our Security and Performance businesses and we start to get traction in the newer emerging businesses, you could. We're not calling that because we know that across all of our portfolio we think there's enough that if you look at the – if you flawlessly executed against every single area, yes, we could. But I think what we're calling is in general, we think 17% on a compound annual growth rate is probably where our aspiration is. We'd love to do better.
James D. Breen - William Blair & Co. LLC: Great, thanks.
Operator: Your next question comes from the line of Mark Kelleher from D.A. Davidson. Please go ahead.
Mark D. Kelleher - D. A. Davidson & Co.: Thanks for taking the question. I just wanted to ask about Cisco. How is that partnership progressing, and in general, just your efforts to move into the enterprise and through the firewalls? How is that progressing?
Frank Thomson Leighton - Chief Executive Officer & Director: The partnership is strong with Cisco. As you know, we launched, or they launched Akamai Connect, which is software, Akamai software that's on their new branch office router, and there is customer adoption there in their sales. The product works very well. I would say it's been a slow-ish start there. We'd like to see stronger adoption, and Cisco is actively working towards that.
Mark D. Kelleher - D. A. Davidson & Co.: Okay, thanks.
Operator: Your next question is from the line of Keith Weiss from Morgan Stanley. These go ahead.
Sanjit K. Singh - Morgan Stanley & Co. LLC: Hi, this is Sanjit Singh for Keith Weiss. Tom, last quarter I think you mentioned in prior investment waves that there was a one to two-quarter lag in terms of revenue after the build-out. So heading into this particular with OTT, heading into this particular wave, is there more uncertainty about timing then you had versus past cycles?
Frank Thomson Leighton - Chief Executive Officer & Director: With OTT, I would say there's a fair amount of uncertainty. Usually the build-out is at least a couple quarters ahead, and then you have to see – or the service is launched to the subscribers by the service, and it takes time for that, so it can extend beyond a couple quarters. At this point, we are engaged in purchasing CapEx and doing build-out for 2016. And it's hard to know exactly if and when the services get launched and the adoption takes place that drives the traffic. There is a lot of buzz out there. There is excitement. I think a lot of folks in the industry think that this is going to start happening more, but it's hard to say exactly when. And that's certainly outside of our control, but we want to be ready to support our customers as they make those decisions and as they do get adoption.
Sanjit K. Singh - Morgan Stanley & Co. LLC: I appreciate that. And then just to follow up on back to the media business, you guys have been very clear, at least in the first half of this year, about some of the tough year-over-year comparisons as it relates to renewals, as it relates to some of the big events and software releases that we had last year. But heading into the second half, I think this time last year you were also expecting more seasonal growth in Q3. You ended up having a very strong Q3 last year and having a very strong Q4 last year. So where, what were the factors if you can be more specific in terms of that we're driving the upside in Q3 and Q4 that you're just not anticipating into the second half of this year?
James Benson - Chief Financial Officer & Executive Vice President: I'll take that. As I mentioned earlier, and I even mentioned it in our prepared remarks, traffic volumes are really driven by a bunch of things. But most notably they're driven by the timing and size of gaming releases, software updates, the introduction of new features on social media platforms. So it's not just the consumption of social media, but it's also the introduction of new capabilities that get offered. As well as obviously what Tom had referred to, which is beyond over-the-top, just ongoing video delivery services. And I would say last year, what you had, it was pretty much all year, to be quite frank. We had a four-for-four on all of those that every quarter there seemed to be some large chunky gaming releases, large software updates. We saw introduction, not just more people consuming social media, but introduction of new features on social media and continuing growth in video delivery. So across all those areas is what fueled last year's media business to grow 21%. So we've said you're probably not going to grow the media business 21% every year. We just grew the media business 16% in Q1 and 17% in Q2, so pretty darn healthy growth rates off of what were very strong growth rates last year. So we're very pleased with the growth rate in the media business. Yes, you're going to see a little bit of a moderation in Q3 of this year. I think we're not worried about it because traffic volumes can vary. I don't think the trends in what drives that business have changed. It's just you're going to go through a period here where it's just a little bit lighter than maybe it was last year. And as I mentioned earlier, someone else had asked, it's too early to call Q4 because a lot of things can happen in Q4. But I want to make sure we're clear that we are very bullish on the media business. And just because it's going to moderate here a little bit in Q3, I don't think it's a sign of the health of the business at all.
Sanjit K. Singh - Morgan Stanley & Co. LLC: I appreciate the answer, Jim. Thanks.
Operator: And your next question comes from the line of Vijay Bhagavath from Deutsche Bank. Please go ahead.
Vijay K. Bhagavath - Deutsche Bank Securities, Inc.: Thanks, guys. Hi, Tom, Jim, two questions. The first is around your opportunity in the enterprise. And where I'm coming from is we do have reasonable color from you on the TV over-the-top and the security opportunities. But we lack insights on how would Akamai view the enterprise as a longer-term growth opportunity, first part of the question.
Frank Thomson Leighton - Chief Executive Officer & Director: I think as a longer-term growth opportunity, it is very large for us. That's why we've been placing significant investments to develop products there. They're focused in two particular areas. The first is for enterprise networking to enable an enterprise to have greatly increased and improved connectivity into the branch offices, both using its WAN and also using the Internet, and also to be able to do that at a lower price point. Many enterprises today need 10X the capacity they've got into their branch office, maybe even more as enterprise employees need to access video, to access the web directly without having to go back through the WAN into the central data center. And as they increasingly rely on the Internet, they need it to perform really well to do their jobs effectively. And enterprise networking is very expensive, and this is an area where I think we can really help. And our first offer there is Akamai Connect. Actually it's offered by Cisco. And we are working on additional offers that we hope to bring to market next year to further improve the capability of enterprise networks to be faster, more reliable, more scalable, and more cost effective. The other area which we talked about a little bit before on the call is with enterprise security, and here there are two factors. One is the enterprise is a huge target today, people trying to steal confidential information, spread viruses, do very bad things, and we've all read the headlines of the consequences of some of those bad things. And the other aspect is that the enterprise is becoming more and more vulnerable because the employees are accessing the Internet more and more to do their jobs. And so as you access the Internet, you need to be able to secure the enterprise from attacks coming in through the Internet. This is an area where we've got great expertise and have enjoyed a lot of success with the Internet side of this with our Kona Site Defender, our web app firewall, stopping DDoS attacks. And what we want to do is now bring that capability into the enterprise, to defend the enterprise employee and the enterprise infrastructure against attacks. So whereas our existing products like Kona Site Defender defend an application from bad things happening, now we'd like to defend the enterprise and the enterprise employees from bad things happening. And so those are the two areas we're focusing on for our enterprise products in the future. And I think the markets can be incredibly large there, and they can be very important for Akamai as we move later in the decade.
Vijay K. Bhagavath - Deutsche Bank Securities, Inc.: Thanks, that's very helpful. And then a quick second part of the question is on security. Give us a snapshot on the hiring plans. We did hear from our own channel checks, the company looking to staff up security overlay sales specialists who talk the security vernacular. So how is it going in terms of security sales hires and investing behind demand on that? Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: It's been going well. We do have an overlay force, and we also train our existing sales force in security. And our goal is that every rep, whether you're a specialist or not, should be able to sell security. We're not there at 100% yet, but we have had good traction with security sales. And as you can see, being up 44% year over year off a number that included all of Prolexic was something that we were very happy with. And now going from near nothing a few years ago to over a $200 million trailing run rate, again, we're very happy with that. And that's a reflection on the success that the sales force has had in learning how to sell security. It takes a lot of effort, and not everybody has done it, but as a company we've had real success there, and that's great to see.
Vijay K. Bhagavath - Deutsche Bank Securities, Inc.: Thanks, Tom. That's been very helpful.
Operator: And your next question comes from Heather Bellini from Goldman Sachs. Please go ahead.
Heather A. Bellini - Goldman Sachs & Co.: Hi, thank you. I was wondering if we could talk a little bit about the growth in the indirect channel. I think you had – over a two-year period you signed up about nine partners, if we go back to the slide deck from your Analyst Day in February. And I think if I recall you had 49% growth in that segment in the year-ago period, and you guys mentioned that that helped drive a lot of media revenue. I'm just wondering how much of a tough comp is that creating for this year?
James Benson - Chief Financial Officer & Executive Vice President: I'll take that. It does obviously create a tough comp. The channel business is actually growing faster than our direct business, and it grew faster than our direct business this quarter as well.
Heather A. Bellini - Goldman Sachs & Co.: But is that growth rate decelerating materially?
James Benson - Chief Financial Officer & Executive Vice President: It's decelerating, but it's decelerating from I think a very, very high base. We signed up – all the partners that you mentioned, in particular the carrier partners, they're still our fastest growing channel. As I mentioned last year, one of the drivers of our growth rates last year in the channel was that in order to get some of these channel partners and carriers in particular, we ceded some of our direct customers to them. And so some of the growth rate that you saw last year was ceding them direct customers that they were actually able to grow even faster than we were able to grow on our own by expanding further offerings into them just based on their relationships with them. So yes, you're going to see a deceleration in the channel growth rates, but we're very pleased with the performance in the channel, and in particular pleased with the performance with our carrier partners in particular.
Heather A. Bellini - Goldman Sachs & Co.: And I just had one follow-up, if I could. In response to the question asked about getting to your 2020 target, and it sounds like based on your answer that over-the-top is factored into that number, given the cost of delivering that content is more than the other content you're serving now, does that mean the profitability picture or the EBITDA target in 2020 has to be altered somewhat?
James Benson - Chief Financial Officer & Executive Vice President: No, no. I think our EBITDA range reflects the fact that if you're going to have a higher weighting of media revenue, you'll obviously potentially be at the lower end of that range, but our media margins actually are very, very strong, as I share annually. Media EBITDA, media free cash flow very, very strong for the company. So I don't think it changes. Plus we have to be careful that we're in 2015 and the model is 2020, and so a lot can happen between now and then. So yes, over-the-top is likely to gain traction, but we're hoping that we're going to gain traction in other areas as well. So I'm not prepared to call that our media revenue mix is going to increase exponentially because I think we have growth opportunities outside of media as well.
Heather A. Bellini - Goldman Sachs & Co.: Great, thank you.
Operator: And your next question comes from the line of Colby Synesael from Cowen. Please go ahead.
Colby A. Synesael - Cowen & Co. LLC: Great. Most of my questions were already asked, so I'll just try to be a little bit more pointed in mine. So the DSA product, that's the one area where if I look back to last year, you've probably more consistently missed our numbers, and that's where the miss was at least in our numbers for this quarter. I know that the question was asked about that, and you mentioned that you'd like to see it growing faster, but I was just wondering. What are you doing to actually grow that faster? Is the issue with the product set? You mentioned mobile. Is it not necessarily improving mobile speeds enough that people are wanting to buy it? Is it a sales execution issue? And when can we actually expect to see some improvement in that business? And then my other question, if I go back to OTT, which I know has been talked a lot about, when I think about last quarter, you talked about increasing the CapEx spend with the expectation that that could drive OTT acceleration in the back half of 2015. Clearly, the press release and what you said on the call today indicates that you're now expecting that in 2016. Was that one or two particular OTT launches that you had anticipated to happen that just aren't happening, or has there been something else that's changed in your view of the outlook for OTT? Thanks.
Frank Thomson Leighton - Chief Executive Officer & Director: Okay, I'll take those. First, with DSA, DSA is a very successful product, and it has been growing substantially. Now what we're focusing on with DSA and with Ion Standard, which we launched last year, is making it much easier to use, making it be self- configurable so that it's a more rapid sales process and customers can buy more of it more easily. And with the Ion Premium offer, that's focused on really making it be super-fast. And as I mentioned before, we're investing heavily in the mobile environment, the cellular environment where it's especially hard to get good performance. And where that becomes a lot more important is you have more mobile apps more transactions going online to mobile devices. With OTT, looking forward, as I said before, it's really hard to say for sure exactly when the various packages and offers will be coming online and predict how fast they'll be adopted by subscribers. As we look forward to the future now, we are confident enough that we're making the investments. You start see that in our financials. And as we look towards the potential revenue, I think 2016 seems like a promising time, but there's risk there. It's just impossible to say exactly when these offers become available and how fast the adoption will be.
Colby A. Synesael - Cowen & Co. LLC: Okay, thanks.
Operator: Your next question comes from the line of Kevin Smithen from Macquarie. Please go ahead.
Kevin Smithen - Macquarie Capital (USA), Inc.: Thanks. I wanted to follow up on Colby's question on the DSA. You mentioned better retraining of the sales force and improved execution on security. Do you get the sense there's any cannibalization going on at the sales force level perhaps now that they find it easier to sell your security products and less attention is going to DSA? And I guess the second question on that, when would you expect a product refresh on the DSA business?
Frank Thomson Leighton - Chief Executive Officer & Director: Okay. So I think there is some. It's not cannibalization per se. but as you see such great traction with security and it's the newer thing that yes, it does take more of our reps' interest. We've got a lot of focus on training there. And so I think it is possible that that's – you see such great growth there, and actually it's pretty respectable growth. We'd just like to see it better with the performance products and DSA. And in terms of the product refresh, we launched Ion Standard and Ion Premier at the end of last year. We've had strong adoption there. Ion Standard is all about ease of use, rapid adoption, self-integration, and then a situational awareness so it works in any environment, with websites, whether you're accessing it with a mobile device or off a desktop. And with Ion Premium, really focused on really fast performance; everything you can do to make the website be faster, front-end optimization, adaptive image compression, so a focus on the ultimate in speed. And as I mentioned before, there's a lot of focus now in development around other things we can do for mobile devices, especially in the cellular environment. So the product – DSA is an existing product we've had for a long time, great product. Ion Standard and Premier launched at the end of last year, and we're making improvements to those products now.
Kevin Smithen - Macquarie Capital (USA), Inc.: Just a quick question on China. You have some partnerships over there that you've announced. What is the revenue opportunity for you there without a license? And is this an important market for you?
Frank Thomson Leighton - Chief Executive Officer & Director: China is an important market for us, obviously a very large market, and for our customers it's important. So we do a lot of delivery into China for our customers that are based outside of China. We do a much smaller but reasonable amount of delivery from customers in China to users outside of China. An area that we've not really tapped into yet is for domestic delivery for domestic businesses in China. That's a large market, and it's a market we hope to explore with partners. And as you know, we've announced relationships with CT and CU, and we'd very much like to work with the major carriers and the major partners in the region that do have licenses. And that's really the only way we can go to market inside of China being a non-Chinese company.
Kevin Smithen - Macquarie Capital (USA), Inc.: Great, thank you.
Operator: And your next question comes from the line of Ed Maguire from CLSA. Please go ahead.
Edward Everett Maguire - CLSA Americas LLC: Hi, good afternoon. I was wondering if you could just provide a bit of color on how your partnerships with carriers are tracking. I know you had mentioned a couple of recent wins.
Frank Thomson Leighton - Chief Executive Officer & Director: I would say we're very happy with the relationships that we have and are establishing with the world's major carriers. We talked before about the competitive situation, and I think that's one area that there has been substantial change. You go back four or five years ago, and many of the world's leading carriers were either directly competing with us or they had a do-it-yourself effort that they were using as some kind of CDN. And many of them have now changed. The internal effort maybe didn't work out as well as they hoped, the competitive efforts weren't as successful as they had hoped, and they decided to partner with Akamai instead. And we've been very pleased to see the progress with those relationships as that's happened. I can think of one large domestic carrier that used to be very competitive with us and is now one of our largest resellers and a very happy partner with Akamai. And that's really critical I think as we go to the future because a lot of the people connect through the major carriers. A lot of the enterprise do their business through the major carriers, and it's great for us to have such a strong relationship with the world's major carriers.
Edward Everett Maguire - CLSA Americas LLC: Great. And just to follow up, in terms of investment for the rest of the year, I know you've committed to a lot of CapEx. But what are your thoughts on continued hiring plans for sales force expansion as we look in the next couple of quarters?
James Benson - Chief Financial Officer & Executive Vice President: I would say that we are continuing to make investments across the business, so it's not just sales. As you know, we've made very, very significant investments in the sales force over the last several years. And so you can expect that probably the rate of sales adds is going to moderate here, but you can expect that across the business we're going to continue to make investments in the business.
Edward Everett Maguire - CLSA Americas LLC: Great, thank you.
Operator: I would now like to turn the call over to Tom Barth for closing remarks.
Tom Barth - Head-Investor Relations: Thank you, Steven. In closing, we will be participating in a number of investor conferences and events in August and September. Details of these can be found on the Investor Relations section of akamai.com. We want to thank all of you for joining us, and we wish you all a very nice evening. Thank you.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Thank you very much and have a very good day.